Unknown Executive: Thank you very much for waiting, everyone. Now we would like to start the SoftBank Group Corp. earnings results announcement for the 3-month period ended June 30, 2022. 
 First of all, I would like to introduce today's participants. From left, we have Masayoshi Son, Chairman and CEO; Yoshimitsu Goto, Board of Directors and CFO; Kazuko Kimiwada, Senior Vice President and Head of Accounting. Today's announcement is live broadcast over the Internet. 
 Now I would like to invite Mr. Son, Chairman and CEO, to present you the earnings results and business overview of SoftBank Group. Mr. Son, please? 
Masayoshi Son: Yes. This is Masayoshi Son from SoftBank. Thank you very much for your time today. So today, and now the market in the world is in a bit of confusion, and today, we have a big loss of SoftBank Group, which I would like to announce today, and let me explain you the details. 
 First, I would like to share with you this drawing. This is -- actually, this explains you my feeling of today. This is a portrait of Tokugawa Ieyasu. He actually made a big loss against Takeda Shingen and came back -- with the loss of the battle and came back. In the background of that, actually, Oda Nobunaga, the ally -- was made with Oda Nobunaga and Tokugawa Ieyasu had to face -- facing with Takeda Shingen, which is much, much larger army than theirs. And most of the allies actually said this is going to be the losing battle so that they should not go for it, but actually, it's better to stay at the castle. However, Tokugawa Ieyasu didn't want to lose his face so that he get out from the castle, had a battle, made a complete loss and suffer and came back. And that actually -- learned lesson, and he tried to remember and remind his own learnings and put it into this drawing. So this is called [indiscernible], which is from after battle of Mikatagahara.  
 So since the foundation of SoftBank Group, I made 2 consecutive quarters loss. So previous quarter and this time quarter, consecutively, we made JPY 3 trillion level of the loss. So in total, JPY 6 trillion loss was made in the past 6 months. So I believe I need to remind that myself and I'd like to remember, and I'd like to make it learning to myself.  
 So today, I would like to take this opportunity to share with you the current status of the company and the business. Since I graduated, I never had my boss. So every time that I received the report from my people, so whenever there is a bad result and made excuse, try to hide the bad results. That actually is not a good report. That made me even more upset. I experienced that from my past. So whenever the situation is not good, whenever the result is not good, I think that we should be open book and explain to you thoroughly. So that's why that I would like to make sure that we are sharing you the current real status of the company.  
 Like I said, this quarter, JPY 3 trillion loss. Previous quarter, about JPY 2 trillion loss. So in total, I said JPY 6 trillion earlier, but actually, it's a JPY 5 trillion loss. Previous year, we made a JPY 5 trillion gain. So actually, about the same level of the amount has been lost. So when we record a big gain, I actually was very proud myself. And when I look back, I'm a bit embarrassed, and I learned a lesson.  
 So the factors of loss, there are 2 things. One is the global stock market turmoil, and the other is the rapid fall of yen. In the meantime, in the past 3 months, NASDAQ Composite index decreased by 20%. Vision Fund public stock index in the same period, it declined by 31%. So compared to NASDAQ, actually, Vision Fund public stock went down larger. Because those are the public stock, you can see the value every day.  
 So looking at those value, and if we put it into the index points, in the same period, while NASDAQ declined by 22%, our stock declined by 31%. Quarterly gain and loss on investments at Vision Fund last year, about a year ago, we made a big gain compared to that moment. The past 2 quarters, we made about JPY 3 trillion level of the loss, respectively. In cumulative, we are not yet loss. Vision Fund invested amount, the gain that they record so far that you see the 2 peak like a camel, the first peak, that was Vision Fund 1. And that declines. That was due to WeWork, but then Uber untrusted -- not doing -- a well-performed IPO, but still that we were able to increase a bit of the value.  
 In Vision Fund 2, actually started at the bottom of Vision Fund 1 with our own money on balance sheet, which is about 1 year ago, and we were able to contribute to the increase in value. But in the past 6 months, actually, those all gains has gone. So JPY 7 trillion Vision Fund gain actually came down to almost 0.  
 To be specific, this blue part shows value of Vision Fund 1. Vision Fund 1 saw loss and gain, and we still have a gain from the Vision Fund 1, and especially listed companies that Vision Fund 1 invested exited when their valuation was high. So the Vision Fund 1 were able to record valuation gain. But pink shows Vision Fund 2. Vision Fund 2 invest in most of the businesses that are not listed yet, so nonpublic investments. 
 If you value them against the market, we have recorded valuation loss. And green indicates LatAm Fund. And LatAm Fund is now integrated Vision Fund 2. And LatAm Fund saw big loss due to valuation loss that we recorded. For Vision Fund 2 or nonpublic Vision Fund 1 investment, we sincerely calculated valuation loss. And as a result, Vision Fund 2 and LatAm, you can see a huge loss here.  
 To be more specific, on the left-hand side, this was result as of end of March this year. Gain was JPY 6.7 trillion. Or 161 companies saw gain, and 171 companies saw a loss, and 117 companies saw no change. So gain by JPY 6.7 trillion, loss by JPY 3.6 trillion. So net-net, we still had JPY 3 trillion of unrealized gain. But as of end of June, 119 companies saw valuation gain, whereas 277 companies saw valuation loss. And gain, JPY 5.1 trillion; loss, JPY 5 trillion. So cumulatively, 3 months ago, unrealized gain was JPY 3 trillion. But in the last 3 months, we almost lost that valuation gain. So more companies saw loss than gain. 
 To be even more specific, as of end of June, listed companies saw valuation gain. But as you can see, 35 listed companies saw valuation loss worth JPY 1.7 trillion, and nonlisted companies, even though they are not listed, we calculated their value looking at comparable businesses in the market. And we decided to record valuation loss that was about JPY 1 trillion for nonpublic companies. And performance of portfolio companies turned out worse than anticipated. Because of that, we also recorded valuation loss, JPY 256 billion. So underperforming companies and public companies and nonpublic companies, we recorded unrealized -- excuse me, valuation loss, a total JPY 3.1 trillion mark down. 
 In terms of whether or not we record valuation loss. So according to our corporate rules, even though those companies are not listed, we recorded valuation loss. 
 And foreign exchange, as you know, yen has gotten weaker very rapidly. And half of our borrowing is dollar-denominated, and remaining borrowing is in yen terms. Borrowing in yen term will be paid back in yen so should not have impact on our gain or loss. But borrowing in dollar term, if you calculate in yen, we have to record impact of increase in the yen amount of foreign currency-denominated net debt of companies in Japan. 
 After tax, Vision Fund loss was JPY 2.3 trillion. And due to foreign exchange loss, total loss was JPY 3.1 trillion. Market cap is JPY 9 trillion, but in only 3 months, we recorded JPY 3 trillion of loss. So I would say that the loss is the biggest in our corporate history, and we take it very seriously. 
 And our most important indicators are 2 indicators. One is net asset value or NAV, and the other one is loan-to-value or LTV, how much net debt we have against the value that we hold? Those are the most important indicators. 
 In NAV or net asset value, if you see on the dollar base, in past 3 months, we have decreased by USD 16 billion. So close to about JPY 2 trillion or so in the past 3 months. So JPY 151 billion came down to JPY 135 billion, so almost 10% down. However, when you look at the Japanese yen base, then JPY 18.5 trillion and JPY 18.5 trillion.  
 So as I mentioned earlier, accounting loss was JPY 3 trillion. But net asset value on the Japanese yen base, actually, no change, so it's flat in 3 months. So does that mean that we don't decrease in net asset value? Actually, it was flat from the Japanese yen level. But if you go more in deep, asset in dollar base is decreasing. So the -- as a result of the depreciation of yen, actually, about JPY 2.2 trillion was saved due to the ForEx impact.  
 So yen depreciation is good or bad for SoftBank Group. Actually, for the accounting point of view, it was the reason for JPY 820 billion loss reason. So that's the valuation for the net debt. So JPY 820 billion loss. But if you see net asset value in Japanese yen, as a result of the depreciation of yen, actually, it worked positive for net asset value.  
 So now would you see a focus on accounting loss, or would you see net asset value? That, I believe, is up to you. Me, I believe it's more important that we focus on net asset value and that I believe it was helped due to the foreign exchange. And as almost every day that we are checking our net asset value as a flash report, so when we see the bad result, we always share the bad situation. That's my policy. 
 So as of today -- so that's the end of June. But as of today, actually, we have worsened by JPY 1 trillion from there. So JPY 18.5 billion, almost coming back down to JPY 17.5 trillion. So that I would like to also share you the current status of ours. So actually, the situation is a bit worse than that of June end. I just mentioned that the net asset value is more important index for us. And compared to the time of peak, actually, for the quarter-to-quarter basically, it was flat but, compared to the past, actually has decreased by about JPY 10 trillion or so.  
 The reason you can see in colors here, Alibaba is in orange. This portion at the peak, it was about $300 per share. As of today, it's $90 or so per share. So it's almost 1/3. So the reason we have increased the net asset value and the reason we decreased in net asset value is mainly due to Alibaba. As I mentioned earlier about the Vision Fund -- but the Vision Fund, in cumulative calculation, was -- it's almost breakeven. We had a bit of a gain in the past. But now it's almost flat. However, compared to the time of peak -- the reason we have increased is because thanks to Alibaba, and the reason that declined from the peak is also due to Alibaba.  
 So that explained in the bars in orange. So if no impact from Alibaba, actually, that is making a good trend. But here, actually, the major impact to our net asset value is increase and decrease both coming from Alibaba mainly. So we had quite a bad result, but the only one positive highlight is loan to value, which is improving.  
 Loan to value is the net debt over equity value of holdings, which we always try to manage our loan to value less than 25%. Even in urgent situation, we would like to manage less than 35%. That's the financial discipline that we've been communicating, and that's our financial policy of ours, and that's the important index for ours.  
 And because equity market is really volatile so that you may worry that our loan to value may increasing or exceeding over 25%. But this is something that we can't control by ourselves. Equity market cannot be controlled by us easily, or we cannot control at all, of course, if we made a bad investment, but it will decrease.  
 But this loan to value is something that we can control to some extent. As we promised with the market, we are working to improve the loan to value down to 14.5% now. So 6 months ago or before -- even before then, we've been in defense mode, which we have communicated to you, and we've been keeping this mode -- defense mode to date.  
 Another financial policy, in addition to loan to value is the cash position, so liquidity or the cash position on our balance sheet that we always try to maintain to cover 2-year redemptions of the bonds. So that's something that we would like to maintain on our balance sheet. So that's the cash position policy that we have. 
 For that, actually, we have more than double of the amount on our book. So we've been strictly following our own rule, which is to be in defense mode at this moment. Loan to value is decreasing, and -- but that may not be something that we can too much proud of because equity value of holdings has been decreasing from JPY 32.1 trillion, down to JPY 21.7 trillion. So the asset has decreased by JPY 10 trillion. And along with that, net debt has been decreased. So JPY 5 trillion net debt been reduced down to JPY 3.1 trillion. So it's JPY 3 billion over JPY 5 billion.  
 As a result, loan to value been improved. So we have a fluent cash position and reducing the net debt. And that -- we have decreased our assets in the other hand by JPY 10 trillion. But actually, we have decreased our net debt. That's why that leads to 14.5% of loan to value. And that is actually showing our real picture of the company. 
 Now let me talk about SoftBank Vision Fund. SoftBank has become effectively investment company, and Vision Funds are our main vehicles to do that. So far, SoftBank Vision Fund have invested in 473 companies, mainly AI-related unicorn. Those are a very important asset for us for the future. Of 473 companies, future Alibaba or future Arm, I hope will be there, but you never know. That said, under the current circumstances, of the 473 companies that we have, we believe that some of them will play a key role in AI revolutions in the future. That's why we are committed to supporting them.  
 There are a lot of things or a lot of lessons we have to learn. But the meeting with those companies for the future, listening from them new business models, I keep impressed and believe in them that they will make a difference in the future. So again, our belief has not changed.  
 We talked about the first peak and bottom in terms of Vision Fund performance in the past. And when we started Vision Fund 2, we decided to start with our own money. And we decided to take even bigger risks so that we can pursue our vision.  
 How have we done that? Again, Vision Fund 2, with our own money, started about 1 year ago. And in 3 months, we invested over JPY 20 billion. And the next quarter, we invested JPY 12 billion, followed by JPY 9 billion investment in the next quarter. So in total, in the last 9 months, we invested almost JPY 5 trillion, mostly by Vision Fund 2 and some by LatAm Fund. So as you can see, we have been very active in terms of investment with Vision Fund 2. 
 However, Vision Fund 2, as I mentioned earlier, recorded a huge loss, mainly valuation loss that we calculated internally, which we should. And that's something that we did. Since 6 months ago or even 9 months ago, we have been defensive as opposed to offensive. In such defensive mode, we have been more selective in making investments. And we made that announcement in the 6 months ago. 
 Because of the huge investment valuation loss we recorded for new investment, we have heightened investment discipline. Since the market is hurt and some people may say that now is the time to buy as opposed to sell, well, sometimes I feel like that. I agree with them. However, remember, the portrait of Tokugawa Ieyasu I showed you at the beginning of the presentation, his face -- frowned face is actually my face. We have a vision, and the vision remains the same. But if we pursue the vision recklessly, we may end up losing big. That's something that we have to avoid.  
 So that's why we have a strong discipline in terms of LTV, making sure that we have liquidity to cover 2-year growth with bond redemption. We have to control ourselves even though we sometimes feel that we want to invest in the market that has tanked because we want to make sure that we won't lose big. So I have to -- we have to cover myself to make sure that our investment discipline works. 
 For SoftBank Vision Fund, we know that we have to reduce operational costs substantially. Again, vision remains the same. Our beliefs remain the same. But like it or not, we know that we have to reduce operation costs. 
 For new investments, we have to be more selective. 470 companies that we have already invested in. Without new investment, we need to focus on enhancing the value of the current portfolio. So those are the things that we have to focus on at the moment. 
 Now talking about Arm. In recent months, I talked a lot about positive news around Arm. But again, this time, I am not in the positive mode, and I need to speak low key in terms of Arm. Things aren't going well. That's all I can say for sure about Arm today.  
 And the last but not the least, let me share with you something about share repurchase program, 9 months ago, we established this JPY 1 trillion of share repurchase program. And we have achieved 70% in 9 months. As you remember, when we made an announcement of share repurchase program, every time we made such an announcement, remember, we delivered it as we announced and promised. For this time, we made announcement with some caveat attached, which is loan to value not exceeding 25% and making sure we have liquidity to cover 2 years of bond redemption. So the remaining 30%, until the end of the term, may not be used up. However, still, even though we may not be able to reach 100% of JPY 1 trillion in 3 months, but we are still committed to repurchase shares up to JPY 1 trillion. 
 So from today for the next 12 months, we have newly authorized share repurchase program of JPY 400 billion. So the remaining 30% or JPY 300 billion about -- even though we won't use up all that JPY 300 billion by end -- excuse me, November 8, we still committed to repurchase shares up to JPY 1 trillion.  
 But utmost priority is our financial disciplines and financial policy: LTV, 25%; and liquidity up to 2 years of bond redemption. Those are the disciplines we keep. And if we can keep them within 12 months, we will repurchase shares up to JPY 400 billion. Again, keeping our financial disciplines, we now have newly authorized share repurchase of JPY 400 billion program. 
 So that's all from myself. Thank you very much for your attendance. 
Unknown Executive: Now we would like to take questions. First, we would like to take questions from the floor. Please wait for the microphone and start with your name and affiliation. [Operator Instructions] So now we would like to take questions from the floor. 
Masahiro Nakagawa: I am Nakagawa from Toyo Keizai. I have 2 questions. One, so you said you learned lesson and the investment scheme -- investment method. Any specific parts that you regret that you learned from this? 
 And the second question that you've been increasing the Ford transaction with Alibaba shares. I believe that Alibaba being using for collateral. And I would like to hear you how your policy for Alibaba shares holdings. 
Masayoshi Son: So the lesson I learned are so many. But for the Vision Fund 1, we were making big swings, Uber, DiDi, WeWork. We had spent almost JPY 1 trillion level of the investment per case. So we've been making a big swing and couldn't hit the ball. That was happened in the Vision Fund 1. Because my feeling was very strong, my motion was very strong to specific companies or business, so that's something that I learned. So we became more systematic and also smaller tickets and try to make sure that we have better profitability in Vision Fund 2. So that's why that we became relatively smaller ticket size in Vision Fund 2 compared to Vision Fund 1. 
 So rather than aiming for the home run but try to aim for a first base hit or second base hit, make sure that we have a good hit and not to emotionally devote too much by myself, but we set experts by region, by sectors and systematically review the investment cases. And that made us more comfortable and being more confident to able to invest in Vision Fund 2. 
 So that is why fiscal '21, in 9 months, we have invested about JPY 5 trillion level. And we thought that we can hit. And also, we thought we did make about JPY 5 trillion level of the gains about a year ago. So we are quite confident. And maybe we were a bit over the moon. So although that we are making a small swing, but we were on too many swings there. As a result, that led us to the quite a large valuation loss. Of course, market was not very good because of some wars happening, COVID hits. There are many excuses I can make. However, that's still the excuse. I think that we should -- I should learn a lesson, be more selective for the investment activities. We shouldn't have this much damage. 
 And also, valuation, for unicorns, was so high in fiscal '21 because of many people worried about COVID. However, people or the market start thinking that we may be able to easily get over with the COVID so that -- and people start using more online services. And those companies actually increased its valuations. So that is why that even we pay -- invest in high valuation for such unicorns, but we thought that that's something that we can get a good return.  
 So although each respective cases were relatively small ticket size, however, we did many more than we supposed to invest. And if you pay in expensive companies, then that you may have a high -- relatively higher possibility of losing. So I believe that we have what we were on the kind of a bubble on valuations. So that's all my responsibility as a commander. 
 Of course, I mentioned it became a systematic way of investing decisions. However, I was leading this systematic investment decisions. And I was participated in this systematic investment decisions. So I believe that's something that my responsibility, not the others, anybody else but me. 
 As for your second question regarding Alibaba transaction, there are several derivative transactions we've been executing for our financing using Alibaba share. As a result of such a transaction, we were able to have a good level of cash position that I explained to you earlier. So this became a good source for such cash position. But when it comes to the share price of Alibaba and our financial position, those will be the kind of factors that we always need to keep in mind to consider the further transaction in the future. 
Unknown Analyst: [ Nakajima ] from Kyoto [indiscernible]. I have 2 questions. First, you keep saying that you learned painful lessons. In the meantime, you said that you believe in AI evolutions in the future. From your perspective, how long this kind of a situation will continue? So how long will you be stay vigilant and selective in new investments? So how long will this winter period, if you will, continue? 
Masayoshi Son: I don't know. Whether it be 3 months, 3 years. When will peace come back to Ukraine? We don't know. In Taiwan, in China, we have to be concerned about tension between China and Taiwan, and COVID-19 has not been completely gone. Under the circumstances, we are also suffering from huge inflation around the world. In order to curb inflation, central banks globally have to raise interest rates. And usually, in such circumstance, the stocks are sold big. So from investor perspective like us, we would say we are in winter. Many people may think is the time to buy, including myself. Some people would say that for listed companies, value is reviewed every day, but unlisted companies, their values are not reviewed every day.
 So valuation of a company when they made the last financing, there are still many business leaders that they can finance at higher valuation than the last financing round. So current situation is that unlisted companies' value is higher than it should be. Even listed companies before IPO, they boasted about their high valuation. But after the listing, they saw huge loss of their valuations. 
 In fact, our Vision Fund saw huge valuation loss. But unfortunately, unicorn companies' leaders still believe in their valuations, and they would not accept the fact that they may have to see their valuation lower than they think. So until multiple of unlisted company is lower than multiple of listed companies, we should wait. So listed companies' winter is still continuing, but unlisted companies' winter may be longer than listed companies' winter. 
Unknown Analyst: You mentioned operational cost reduction for Vision Fund. And how much are you going to reduce operational costs, especially talent? 
Masayoshi Son: When it comes to funds, it sometimes requires a lot of money to attract good talent to make good investments. Unfortunately, since our investment amount is smaller, source for new investment should be smaller. Then you can't have too many investment teams. So Vision Fund headcount may need to be reduced dramatically, not only Vision Fund but corporate-wise. Since we have been seeing a huge loss, we have to reduce cost in our own company. I won't say in figures or numbers in terms of cost reduction, but group-wide cost reduction has to be done. Independent listed companies like SoftBank KK and Yahoo!, of course, they have to make their own decisions. But SoftBank Group, as an investment company, has to reduce costs dramatically. 
Takahiko Hyuga: My name is Hyuga from Bloomberg. My first question is about cost reduction you just mentioned. The second point is -- question is about the governance. 
 So you -- I believe this is the first time you explained or you expressed your idea of reducing the human resources in the Vision Fund. But in region, Europe, Asia, China, Japan, United States, which regions are you going to target for? And also, there are managing partner level, senior level, do they also be as a target? Right now, I believe there are 400-some people in Vision Fund. That's my understanding. And you said that you are planning to have a large reduction of the resources in Vision Fund. Do you have a rough idea of how many or how much? 
Masayoshi Son: About the size, we are still discussing internally. We haven't had a clear view yet. But there is no sacred areas. So we have to review everything. The first is to keep our defensive mode. That's been our attitudes from about 9 months ago, and that will be maintained and executed. 
 As for financial policy, we have loan-to-value index, cash position index. Those are the ones that we see as a reference for our defense mode. But the next thing that we need to do is to reduce the cost -- operational cost. So that's something that we should be focusing. So region, there is not any sacred region. Without any exceptions, seniors, juniors or back office or front end without no exceptions that we will review. 
Takahiko Hyuga: So following up to that answer, you have 4 investments already been made in Japan, and you have about 10 or so resources or people. Is that going to be the target as well? 
Masayoshi Son: I don't like to make how many from where or anything like that here. But again, without any exceptions, we would like to consider and review the cost reduction. 
Takahiko Hyuga: So no comments on the size of the reduction? 
Masayoshi Son: No. That's something that we are discussing internally right now. 
Takahiko Hyuga: And my second question is about governance. These days, are you been losing management level of the resources from the company. Mr. Sago, Mr. Marcelo Claure, 2 of them have left. And Mr. Rajeev Misra, I understand that his role has been changing. So from the stakeholders' point of view, who is doing what is also important for us to understand and they need to communicate that truthfully. And as for Mr. Rajeev Misra, what is he doing? What is his role right now? And what is the change from now to then? And also how you feel about those people leaving the company? 
Masayoshi Son: Yes. Rajeev is CEO of SoftBank Vision Fund 1. That will be the same, no change for that. We have our third-party investors, LPs, and he is one of the key men. He himself and myself are the key men. And in the contract with those LPs, he stays as a key man for this fund. So he is -- he understands and wish to fulfill his responsibility so that -- and at the same time, SoftBank Vision Fund 1 has ended its fund period, but we may have some follow-on investments to those existing investments. It's going to be a very small amount, but -- though we would like to help him monitor and manage those that -- private companies that invested by Vision Fund 1 and also any follow-on investment for the existing portfolio companies in Vision Fund 1. In addition to that, the exit of those portfolio, it needs to be managed as well. So that to be covered as his role for Vision Fund 1. 
 As for Vision Fund 2, which I said that they have a lot of lessons learned, I will be working together with our managing partners, there are tens -- some managing partners there so that we would like to work for Vision Fund 2. For any new investment for Vision Fund 2, we are very selective these days, so that our focus is going to be mainly the existing portfolio companies and also the follow-on investment for those. Any new opportunities, we're going to be very selective. So that even that we're going to reduce some resources, but still, we believe that we'll be able to keep the steady operation of the fund. 
Takahiko Hyuga: I want you to add a little bit color on what you just answered. So Mr. Misra, he's been involved in Vision Fund 2, but he will not be committed in Vision Fund 2. Is my understanding correct? 
Masayoshi Son: He will be involved to some extent. However, he will not involved in Vision Fund 2 as CEO of Vision Fund 2. I will be the CEO of Vision Fund 2 and taking the lead. So Rajeev is going to be supporter for Vision Fund 2. 
Takahiko Hyuga: If that's the case, when we see the financial report of yours, the commitment by the management to Vision Fund 2, it's -- right now you are the one for that, but I understand there is no any explanation in financial reports of the SoftBank Group Corp. But is that -- is there any opportunities that you're looking for that the other management putting money in Vision Fund 2, anything like that? 
Masayoshi Son: I will be the lead for the Vision Fund 2. 
Daisuke Ichikawa: Ichikawa from Yomiuri newspaper. The first question is about portfolio companies, 470-something. And you're in the face of believing in them, you said, but other than just believe, do you have any specific things that you have in your mind for example, challenges that have -- are there anything that's SBG support for them? Or you'll be more hands-on, hands-off for the portfolio companies? 
Masayoshi Son: Of 475 companies, most of them are invested by SoftBank Vision Fund 2. Vision Fund 1 invest in about 90. And mainly, ticket size are very small. For example, the ownership is about 5% to 10%. So we are, as a minority shareholder, supporting those companies. So hands-on or not or turning around those businesses, for example, it's not something that we think we should do. Rather, we may give some advisers or we may make suggestions to deliver synergies we are to do, but we are not hands-on, if you will. Rather, those business owners are supported by them from -- with our expertise and with some financial support. But going forward, not necessarily with the financial resources, we would like to support them with our expertise advice. And our teams -- dedicated teams will work closely with them to give support for them. Instead of investing in new companies, we would rather supporting those portfolio companies our -- with our teams. 
Daisuke Ichikawa: The second question is rather related. Not negative but something positive. I'd like to hear from you. SoftBank KK and Z Holdings, what's the strength of you by having those companies? 
Masayoshi Son: Yes, we have great strengths, and we have 475 companies in our portfolio. And most of them grow 50% or even higher year-on-year. So they are still in a growth phase. And there are many companies that have great technologies and great business models. So our SoftBank KK and our Yahoo! and LINE and PayPay, for them, those portfolio companies are jewels. So I believe that we can create a lot of positive relationships between those portfolio companies and our group companies. 
Reo Otsubo: My name is Otsubo from Sankei newspaper. So it relates to the previous question. So you can create a positive relationship and also 470-some companies. What kind of area that you think that you can expect more going forward? Can you be more specific? 
Masayoshi Son: Yes. Some of them, you may be doubtful that this -- is this company really using -- utilizing AI. There are about 10% or so, but actually, 80% or 90% of those companies are actually making their business model because there is AI. So those companies sector-wise, it's very much wide, fintech to meditech, adtech. So there are a variety of sectors, which are all exciting. And each respective companies, although they are small as individual company but I believe that reminds me of the time that the -- dawn of the Internet era, like GAFA, so now 5 to 10 years later, we're making lots of investments, and that could lead to the good result later on. I'm quite sure, and I'm confident that we'll be able to see the good growth from those companies. 
Reo Otsubo: I have another question. It is maybe out of the point, but then -- sorry to make such. But this huge loss you are recording, it's not any misconduct or anything, but it's not the responsibility of the management. But do you have any plan to return your compensation or anything? 
Masayoshi Son: When it comes to compensation, compared to any directors, I'm the lowest in terms of compensation. I receive about JPY 100 million altogether, and out of this JPY 100 million, all amount are donated. So if my compensation decrease, that only decreasing my donation. So I'm not receiving in my hands. So why it's JPY 100 million for my compensation? It's because once it exceeds JPY 100 million, that's the threshold for the disclosure. So that's why that we believe that we do -- I do need the disclosure. So JPY 100 million. If it's less than JPY 100 million, looks like I don't receive anything because I don't have to disclose. And the people may say that I'm doing something wrongdoing, which I don't want. And also as a source for donation, JPY 100 million, I've been making a donation. So that I like to maintain as a source for that. Responsibility for the management, I do feel that responsibility. But even I decrease my annual salary or compensation, that may not be the big thing for -- from the company-wide point of view. 
 Any other questions? 
Unknown Attendee: [ Sanda ] from Nikkei business. I have 2 questions. First, KE Holdings was one of the companies that you exited. My question is why? Any fundamental reasons? 
Masayoshi Son: A holding, you said? 
Unknown Attendee: KE Holdings. 
Masayoshi Son: Listed unicorn, and after lock-up period is over, we sell down. And one of them unlisted companies that we do is [indiscernible] and I remember Uber exited almost all after a certain period of time. Since they go public, we recognized gain. 
Unknown Attendee: And the second question is about cost reduction or more specifically, headcount reduction. Well, I feel it's a waste because you have built ecosystem, and you have built relationships and network and expertise. And if you reduce headcounts a lot, you may find it very hard to restart some time in the future. 
Masayoshi Son: Well, I completely agree with you. So that's why I have a lot of headaches that may be shown in my head. We have created great team and relationships and organizations. I feel really bad if we were to reduce them. But the fact is, Vision Fund has recorded almost JPY 6 trillion of loss in the last 6 months. So not only Vision Fund, but group-wise, we have to reduce cost without any exceptions. So scale and how we will still discussing, but I just wanted to share with you our direction today. 
 In the interest of time, last question, please. I'm okay for any longer. I mean how long it takes. I am happy to take your questions, but I believe this will be the last question. 
Eriko Wada: My name is Wada from Nikkei newspaper. I have 2 questions. Fortress Investment Group, there are media reporting the sales of Fortress. Do you have any intention to sell? And also, what is the position of this company inside of your group? That's my first question. 
Masayoshi Son: Yes, thank you for your question. As for Fortress, I have a feeling that we want to -- we may want to consider selling the company. The reason is clear, I just mentioned in my presentation. But when it comes to the counterpart or the buyer, we would like to discuss. So we have some discussion going on to some extent. And there are some buyers, potential buyers, and we are ready to have a discussion with such. And the reason is because of those explanation I made so that I am -- we are open for any proposal. 
Eriko Wada: My second question is about Alibaba share. The first quarter, you utilize Alibaba shares for your financing quite a lot. How much are there, which are the unused shares for Alibaba, so how much capacity do you still have for the financing using Alibaba share? 
Masayoshi Son: That's something that we are still discussing internally. So once we have a clear view, I would like to update you. 
 So that's all from the floor. We have one question from the Zoom. 
Unknown Executive: So this should be the last question, which is from a participant on Zoom. [Operator Instructions] 
Unknown Attendee: [ Owada ] from Nikkei BP. Happy early birthday, and you'll be 65 years old in 3 days. So how enthusiastic about your business? 
Masayoshi Son: Well, I took a question about responsibility for the business and enthusiasm. About the business I get more and more enthusiastic about my business. If I get sick or if I lose motivation, at that time, I will retire because I don't want to cause any trouble to shareholders and employees. But at the moment, I am fully energized about our business. And my vision is unwavering. 
 Thank you very much. That's the question from the Zoom. Thank you very much. Sorry about very depressing earnings results announcement, but I wanted to be transparent and open book. Thank you for your participants today. 
Unknown Executive: Thank you very much. This concludes the SoftBank Group Corp. earnings results announcement for the 3 months period ended June 30, 2022. The video footage of this meeting will be distributed on demand from our corporate website. Once again, thank you very much for joining the SoftBank Group Corp. earnings results announcement for 3-month period ended at June 30, 2022. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]